Operator: Thank you for joining us for the Middleby First Quarter Earnings Conference Call. With us today, from management, are CEO, Tim FitzGerald; CFO, Bryan Mittelman; Chief Operations and Technology Officer, James Pool; and Chief Commercial Officer, Steve Spittle. We will begin the call with comments from management and then open up the lines for questions. [Operator Instructions] Now I’d like to turn the call over to Mr. FitzGerald for his opening remarks. Please go ahead, sir.
Tim FitzGerald: Thank you for joining us today at our first quarter earnings call. As we begin, please note there are slides to accompany this call on our website on the Investor page. We started the year with positive momentum. In the first quarter, we reported a strong order intake, realizing growth compared to 2020 and ahead of our pre-COVID 2019 levels at each of our three segments. Our backlog across our business segments also continued to climb, supporting continued strength and financial performance for upcoming quarters. We reported strong levels of profitability despite pervasive and ongoing supply chain challenges. And we posted improvements in our EBITDA margins at each of our three business segments, all exceeding 20%, reflecting the benefits of execution against our strategic and operating initiatives. We continue with these efforts and toward our long-term profitability targets through acquisition integration initiatives, manufacturing and supply chain activities and improvement in mix of product sales as we promote higher technology products. And we continue to invest, again, in the first quarter, spending on key strategic initiatives as we focus on evolving our business to meet rapidly changing foodservice industry dynamics and increasing customer expectations. We remain committed to investing in technology, customer support capabilities, digital sales and training tools, global manufacturing and after-sales service programs as we aspire to better serve our customers and support the long-term growth of our business. As we move through 2021, we are optimistic about the market conditions and the strength of our positioning in each business segment. For our food – our Commercial Foodservice business, the restaurant industry remains significantly disrupted. However, it has proven resilient and a recovery is under way. While the foodservice industry is not expected to fully recover until 2025, it is anticipated to improve meaningfully in 2021, and our customers are making strategic investments in their foodservice operations, leading to greater acceptance of new technologies to address rapidly changing customer trends and increasing operating challenges. We are well-positioned to support faster-growth segments such as QSR, fast casual, convenience stores, retail and healthcare. We are also invested in and positioned to support industry trends such as carryout and delivery and new operating models such as virtual brands, podular restaurants and ghost kitchens. At our residential business, new home starts and existing home sales continue to be robust, while increased time spent at home has resulted in kitchen remodels. This presents a favorable backdrop to our business for the year and we anticipate conditions carrying into 2022. We remain excited about the many new product launches we’ve introduced to the market, along with planned upcoming introductions, which provide for continued momentum. And the investments in our sales and service capabilities made over the past several years has positioned us to capture market share. We continue with these investments and are excited about the summer opening of our next residential showroom in Dallas. This showroom will be tied to our Middleby Innovation Kitchens and demonstrate the crossover in product and technology among our commercial and residential businesses and bring to life our differentiated ability to offer professional restaurant innovations into the home. At Food Processing, travel restrictions have proven to be a challenge to customer demonstrations and the installation of equipment. As COVID will remain a challenge across the globe in 2021, we are leveraging our global teams and platform to engage with customers and serve their needs locally. Through COVID, we continued with our focus on market opportunities for areas such as cured meats, bacon, alternative protein and pet food. Increasing demand also exists for innovations addressing operating challenges, including labor, safety, energy and sustainability. We are positioned with solutions to address these demands and have increasing adoptions of products for many of our new technologies. And now with that, I’d like to pass it over to Bryan.
Bryan Mittelman: Thanks, Tim. For the first quarter, our GAAP earnings per share was $1.59. Adjusted EPS, which excludes amortization expense, non-operating pension income as well as other items noted in the reconciliation at the back of our press release was $1.79. Operationally, it was another solid quarter for us. When looking at total company performance, our revenue growth persisted and we delivered 21% adjusted EBITDA overall. With the strong demand environment, order rates are expanding and organic commercial foodservice revenues moved into a positive territory when comparing back to the prior year and we continue to generate strong cash flows. On a consolidated basis, on a year-over-year basis, revenues grew 12% or over 8% organically, as we benefit from robust demand in Residential, improving conditions in Commercial Foodservice and growth in Food Processing as well. Our 21% adjusted EBITDA for Q1 was an increase over Q4 as well as from Q1 of 2020. By the way, all the margin values, I discussed, are on an organic basis, meaning excluding any acquisitions, disposition and FX impacts. Total company adjusted EBITDA was $161 million. This represents over 10% sequential growth from Q4 and over 15% growth from the prior year. We are growing our bottom line faster than our top line even while we maintain our investments of around $5 million in technology initiatives quarterly. Our profitability expansion and cash flow generation come about from the actions we took to improve our business models as we manage through the pandemic. Commercial Foodservice revenues globally were up over 3% organically; and when looking at just North America, the increase was approximately 6%. The international decline was approximately 3%. Our margins expanded sequentially again. We produced nearly 25% for Q1. In Residential, we saw revenue up nearly 29%. Strong demand persists for our premium appliances and outdoor cooking platforms. Here too, our margins have expanded sequentially. We grew to over 21% for Q1. In Food Processing, revenues increased around 7%, and the adjusted EBITDA margin was over 20%, an increase of over 250 basis points from the comparable prior year period. As a reminder, for this segment, Q1 usually has seasonally lower margins. Interest expense was $16 million. Effective for fiscal 2021, we have adopted the new GAAP rules on accounting for convertible debt instruments. As such, there is no longer a meaningful non-cash component of interest expense from our notes. Our operating cash flows of $60 million is another highlight when looking at our performance to start the year. This amount was rather meaningfully impacted by the increase in accounts receivable from our growing revenue base. In a pre-COVID world, I’d offer that we typically have a benefit to cash flows from AR in the first quarter; however, for 2021, the impact was detrimental at $67 million. While we are certainly pleased with the revenue growth, I wanted to make sure that the impact of working capital as we continue to recover and grow is understood. As always, I am proud of our discipline around cash flow. It is core to running the business for us. We consistently demonstrate our ability to manage costs and cash while investing, driving innovation and providing excellent service to our customers. Our total leverage ratio is 2.9 times while our covenant limit is 5.5 times. We have over $1.4 billion of current borrowing capacity. Accordingly, we are still investing in growth initiatives and, obviously, have been active in M&A. When I’m not working on M&A, I do spend some time with my family. And as a parent of tween-age boys, various debates often ensue around the house beyond topics such as Cubs versus Sox or Bears versus Packers, this is an especially frustrating one for me. East Coast versus West Coast, Marvel versus Star Wars, we seemingly have lots of to debate, including food topics, too, like chocolate versus vanilla, chunky versus smooth, square-cut pizza versus triangles. Well, what do these ramblings have to do with Middleby? My point is, whatever you want and however you want it, you do you and we have a solution that will get the job done. I was on a recent dinner pickup run where some things came together for me. I was waiting curbside for the American Classic at Cheeseburger and Fries, and I nostalgically recalled all the flame-grilled burgers and shoestring fries I enjoyed as a kid. Little did I know how much more important these would be to me later in life. But back in the day, I certainly had never heard of Nieco or cared much about a flame broiler or the same thing with a Pitco fryer for that matter. But this dinner run offered a personal growth opportunity for me, too. We should always remain open to new experiences and ideas. So I was sitting there and some crispy crinkle-cut fries hot out of the Pitco fryer were sitting next to me. And there was no way they were going to make it all the way home without a sampling or two or three. So having kept an open mind, I can say that the crinkle-cut fry has won me over. It comes down to their differentiated texture. And I know the East Coast-West Coast feud was not about food, but if a grill from Sonoma and a fryer from New Hampshire can go together so well, maybe there’s a larger lesson for all of us in that. And by the way, in my family, we can all agree on a cookies-and-cream shake. We will keep on having our debates and doing what we can to keep Middleby customers busy and ordering more equipment. Speaking of which, our Q1 order and backlog data was again shared in the presentation we posted this morning on the Investors section of our web page, and I’ll seek to briefly translate that into some near-term expectations. And before diving into each segment, I will reiterate what I shared last month. Even with a solid start to the year, we are keeping our expectations at modest levels for the near-term. While we’re seeing good order trends, we also benefited in Q1 from some pent-up demand and rollout activity. We’ve considered these factors as well as some risks in our valuation. Many variables are at play and our outlook will likely evolve over time. We’re facing a variety of challenges in the supply chain and manufacturing environment. Components availability and pricing, logistics hurdles as well as some matters around labor such as availability, cost and worker safety are all top of mind for us. We expect increasing cost impacts as we progress through Q2. While we are still generally optimistic overall, these headwinds are very much real and can’t be ignored. Furthermore, it should be understood that given the backlog levels, current market dynamics and our operational plans and challenges, we do expect the backlog to be converted into revenue over a longer time frame than was typical in a pre-COVID environment. So for Commercial Foodservice, the positive trajectory continues and order rates have moved well to positive territory, up 21% in Q1. As we consider how we are operating and given the current risks and challenges, our expectation is for modest sequential growth from Q1, which means low single digits. Given the low revenue levels in Q2 of last year, it seems more appropriate to be considering sequential performance at this time. We are also aggressively addressing inflationary factors. We hope to maintain our pattern of expanding margin sequentially, but this is a meaningful headwind and we continue to actively address the risks to be able to exceed 2019 profitability levels. The supply chain issues are affecting all our segments, we monitor and manage this daily. The potential impacts are increasing so I do remain overall somewhat cautious in our margin outlook. We are preparing to take further pricing actions across the board as we gain clarity on the impacts to our business. On the revenue side, Residential’s growth abounds with Q4 order rates – I’m sorry, with Q1 order rates up robustly again at over 60% from the prior year. We expect to have sequential high single-digit growth for Q2, that is as compared to Q1. As I’ve noted repeatedly, the supply chain risk will present a challenge to further expanding margins in the short term. For Food Processing, as we look at the typical activity patterns and our backlog, I’d also expect to have sequential high single-digit revenue growth for Q2 as compared to Q1. Overall, we are very excited about how we have started the year, both in terms of our Q1 performance and with the future opportunities for our business and with the acquisition of Welbilt. Our products, innovations and customer service are driving strong orders and a growing backlog. Our management expertise will be paramount as we manage through the disruptive factors we are encountering. Along the way, cash flow generation will remain strong. We are tackling the challenges, seizing the opportunities and looking forward to an exciting 2021. With that, back to you, Tim.
Tim FitzGerald: Thanks, Bryan. As we open the call, I would like to remind everybody that our Q&A will be focused on the quarter, our business and Bryan’s personal culinary preferences. We remain excited about the pending merger acquisition with Welbilt, but we will not be commenting on their results, nor are we able to comment on plans with the business post-acquisition, and we refer everyone to our presentation and call from a couple of weeks ago. With that, I’d like to open up the call. Rebecca, if you could open the line now.
Operator: [Operator Instructions] And your first question comes from the line of John Joyner with BMO.
John Joyner: Pretty good. Bryan, I can only imagine what a long middleman family road trip is like.
Bryan Mittelman: Yes. Good times, good times.
John Joyner: Good times, yes. So can we focus a bit on just free cash generation? I know you touched on this, Bryan, and something that you’ve talked about over the past few years. But it’s certainly quite impressive, particularly, for a first quarter. And – but maybe, how would you kind of grade yourself on this metric? And you did say that you kind of expect strong cash generation this year, but do you feel more comfortable today projecting whether you will convert 100% of net income into cash for the year?
Bryan Mittelman: I think, it’s more appropriate, given how our balance sheet has changed and how working capital has evolved. I’ve really kind of looked at that collectively, 2020 and 2021 together, because our historical average is around 100%, right? Some years, it’s down a little bit from that. Some years, it’s up, right? And last year, it was up so much. So I’m holding that percentage in my mind as I put the two years together, 2020 and 2021, right, which then implies less than that potentially for 2021 in isolation.
John Joyner: Okay, got it. And then maybe just a follow-up. I mean, I don’t want to get into like kind of order cadence and all that stuff, but maybe talk about Powerhouse Dynamics, and I’ve read some new technology that they kind of have rolled out, like ConnectWare and things like that. But maybe talk about that business because I feel like when it comes to connected kitchens, people probably don’t fully grasp maybe what this potentially could be in terms of like how meaningful it could be for Middleby in the future and the stickiness of customers and things like that. So could you just at least kind of touch on what’s going on there and how that business is performing and just kind of the connected business overall?
Tim FitzGerald: Yes. I’ll turn that one over to James, but I appreciate you calling out the stickiness of it, right? So that’s something that’s certainly very important to us about that. But I’ll pass to James.
James Pool: Yes, we continually do invest heavily in Powerhouse Dynamics, and we are seeing the adoption of the platform across our customer base, whether it be chains adopting it or franchisees adopting it across multiple chains that they have under their portfolio of brands. You are right. The stickiness of Open Kitchen is a key factor of it. When tying Open Kitchen to the various Middleby brands and other pieces of equipment, it certainly helps draw sales of equipment into a chain to support the connectivity initiatives. Relative to what we’ve introduced with ConnectWare, ConnectWare is a supporting technology that we introduced a few weeks ago. And that’s really around always having the right connectivity for our customer. What we have learned is that there is not one connectivity solution that works across the board. Some want 2G, some want 5G, some want cellular, some want LAN, some want MyWi. And just to build a product with a WiFi chip is inadequate and that’s where we really came up with the innovation around ConnectWare, and our products in the future will basically not ship with connectivity but will ship with connectivity capability. And when the customer decides what they truly want to connect with, we will provide them with the right connectivity platform with the right data dictionary such that they can get the right data out of their equipment to their Open Kitchen dashboard.
John Joyner: Okay. Excellent. I’ll leave it there. Thank you. Well done.
Bryan Mittelman: Thank you.
Operator: Our next question comes from the line of Mig Dobre with Baird.
Mig Dobre: Yes. Good morning, everyone. Thank you for taking the question here. And Bryan, I think both Biggie and Pak agree that crinkle fries are the best. So there’s agreement there for sure. Now my question is really around your margin outlook in CFS. You talked about revenue ramping sequentially. You obviously have good backlog, but we know that there is cost inflation here. So as you think about incremental margins, can you maybe help us understand how you see the year progressing in terms of ability for pricing to kind of catch up with material inflation? Should we be thinking Q2 maybe has a little more pressure than the rest of the year? It sounds like you still have 2019 margins as a target that can be achievable or at least that’s kind of what I understood from your prepared remarks. So I’ll start there. Thank you.
Bryan Mittelman: Yes. No, I do think you have that right that Q2 is going to be somewhat challenged. Obviously, we’re sitting right close to that 25% level and that’s what we’re trying to overachieve. We have taken pricing, as I said, more pricing will be coming. We’re working hard to make sure that, that at least covers the cost impacts that are very real. I’ve also kept my revenue outlook, I’d say, kind of in check, moderate, modest, pick kind of a middle-of-the-road viewpoint there, right? So that has an impact of somewhat limiting the margin expansion from kind of, call it, the leverage benefit if there were higher revenue levels behind our analysis. So I think that’s a potential benefit out there as well.
Mig Dobre: So if I understand this correctly, you are saying sequentially, margins are going to be maybe flattish and then things get better in the back half of the year as you sort of catch up?
Bryan Mittelman: Yes. Right. Right, as we get some pricing benefit there. And then again, I’ve kept kind of incremental impacts from volumes out of the commentary or the outlook at this point.
Tim FitzGerald: Yes. Mig, I guess, a couple of things. One, I’ll just say that we’ve got longer-term margin targets, which remain intact. I mean, beyond just kind of the immediacy of what’s going on with supply chain which, again, is very significant, which is why I think we want to make sure everybody understands it. I mean, we certainly are doing a lot of things operationally and strategic to drive to those longer-margin targets. And we will still execute against those this year, so that will definitely be something that will offset that in part. The supply chain challenges are very volatile and uncertain right now, right? So I mean, it’s not like we have it all measured because it is changing week-to-week. We are being very thoughtful and proactive about it, and that will kind of lead us to passing on some of these cost increases in the second half. The reality of it is a lot of the pricing actions that we’re contemplating probably won’t be fully realized until the fourth quarter. So I think the kind of the more near-term impact of it will be in Q2 and perhaps even more in Q3 in terms of the way I view it.
Mig Dobre: Okay, that’s helpful. And then lastly, at least to me, the thing that really stood out in the quarter relative to my own expectations were Residential margins. Seeing this business now north of 21% EBITDA margin, just pretty remarkable versus what we were thinking even a couple of years ago. So I guess the question is how sustainable is this margin? How should we think about not just the rest of the year but maybe beyond 2021? And again, I’m kind of leaving any incremental M&A that might be dilutive to the side. Just based on what you currently have on the portfolio, can we sustain this level of performance? Thank you.
Bryan Mittelman: The quick answer is, yes. I’d also remind you and will reference to going back a couple of years ago. A couple of years ago, we didn’t have Brava in the mix. And we certainly own it and it is part of our numbers. But if you exclude that, just to kind of get an apples-to-apples basis to what might have been set in your mind, there’s another, let’s say, 150 basis points drag a little bit from that, right? So where we’ve come ex that, just trying to toot our horn a little bit more, right? But we’ve been putting in a lot of hard work in investing on getting the business and the cost structure and the production processes moving in the manner to get to that 25%, right? That is still the number that is out there for us. We’re having some challenges currently, given the environment to do more than right now. We continue to invest in the businesses and are undertaking some meaningful investments, especially on the AGA side to continue on that longer-term, medium-term, I should say, journey. So sustaining? Yes, I’m comfortable. And again, obviously, speaking here that we feel like we can, over the medium term, continue to improve as well.
Mig Dobre: Okay. Thank you.
Operator: Your next question comes from the line of Saree Boroditsky with Jefferies.
Saree Boroditsky: Good morning. So based on some other companies reporting, it seems like you might have outperformed the market in Commercial Foodservice. Could you just highlight if there was any large projects or anything that you think maybe allows you to outperform the general market?
Tim FitzGerald: I’ll start and then kick it over to Steve. So I mean, I’d just remind, it’s kind of a more volatile market right now. So I mean, I think, as you kind of look across the industry, there’ll probably be different geographies that are performing stronger or weaker in different segments of the market. Then, obviously, there’s kind of what’s going on at the customer level. So I mean, I think you’ll probably see a little bit more difference from quarter-to-quarter even with our own orders and certainly from business to business. So – but I mean, I think, the positioning that we have in various segments as well as the trends that we’ve been targeting on is we really want to make sure that we’re focused on what are the solutions that customers are looking for. We feel that, that bode well here and we’re really positioned in those areas that are growing, and Steve can probably add on to that.
Steve Spittle: Yes. I would specifically call out kind of two areas where we’ve made a lot of investments over the last couple of years, last year, especially, that I think are starting to pay off. So the first, I guess, we’ve talked about before, is certainly the retail segment. It was a positive growth segment for us last year and is a segment that is off to a very good start again for us this year. Why – I think it’s important to know why this could be a reason why we are doing a little bit better is this is still a very new segment for Middleby. If you go back three or four years ago, we were really not holistically in the retail space like we are today. And so now today, we’re having a very dedicated team with the right products as retail continues to grow as a market. I think, we’ve been very well positioned. And so that, I think, is a key driver for certainly last year and the quarter that we just finished. The second thing I would say is, especially, last year, we spent a lot of time and were very intentional in getting closer to our dealer partners and our channel partners. I know we talk a lot about the different chain segments on these calls, but we’ve really spent a lot of time coming up with specific tools, resources, trainings for our dealer partners to help them and their partners navigate the pandemic last year. And so I think we made a lot of short-term investments last year playing the long game when the market would start to come back. So I think we’re starting to see that in very early stages in the first quarter as more of that general market smaller chain business that the dealers historically focus on starts to come back, I think, we’re starting to take some business in that area.
Saree Boroditsky: That’s helpful. And you talked a lot about the supply chain issues maybe from a cost side, but could you provide any color on what you’re seeing there? Any impact on sales in the quarter or upcoming quarters? And what are the lead times today on some of your equipment versus normal lead times?
Bryan Mittelman: Yes. On its impact on revenues, I’d say, it has been not overly limiting yet. There’s probably a couple of areas that we could have done a little bit more in the revenues. I was cautious a little bit starting there. I’ll probably stick with the comment I’ve said before and that it hasn’t, I’ll call it, shut us down in meaningful ways anywhere. But each day and the list gets longer, it gets a little bit harder. So it certainly is, in my mind – or more than in my mind, as we put together the outlook, right? So it’s a – it is somewhat of a limiting factor for us in a couple of areas. And then lead times is a little bit of a tougher one to answer, given we have 100 brands out there. In Residential, it is probably – if you had to generalize probably two months or more across Commercial. Again, it varies. I mean, certainly, given our backlog and such, they are higher now than they were, I’ll just say, two years ago, like compared to a pre-COVID environment. But I don’t think I have a quick rule of thumb to throw on that one.
Tim FitzGerald: I wouldn’t say just, generally, our lead times are two to three times longer, not necessarily across every – one of those brands, but I mean, at a significant portion. I mean, that’s one of the things that we’ve been working hard is, increasing the capacity as we’re kind of moving through the year. Although Bryan said we haven’t been "maybe disrupted" in terms of shutting down production, and that’s credit to our supply chain team, which did a tremendous job throughout all of last year and continues to do that this year. It does maybe somewhat cap our production in certain cases because we do have limitations in terms of what supply is out there. I will also say that as we talk about margins, I mean – and this is embedded in the first quarter margin, there’s some inefficiencies in there as well because I mean, the parts availability doesn’t always line up with our production. So we’re doing quite a bit to rearrange production. Sometimes, you’ve got a product that you’ve got to stop halfway down the line and finish it the next week. So that’s one of the other things that we’re dealing with right now and I’m sure that will continue for a bit. But I mean, I think, we’re being pretty proactive in managing that and very focused on trying to take care of our customers as best we can. And we will be increasing our capacity at a number of our businesses as we move through the year.
Saree Boroditsky: I appreciate the color. Thanks guys.
Operator: Your next question comes from the line of Jeff Hammond with KeyBanc Capital.
Jeff Hammond: Hey, good morning guys.
Tim FitzGerald: Good morning Jeff.
Steve Spittle: Good morning Jeff.
Jeff Hammond: You called out retail, and I know like a lot of the chains are kind of back getting busy again. But just maybe speak to what you’re seeing in the laggard markets: hospitality, travel, leisure, casual, education? And kind of how you see that forming in terms of recovery as you go through the year?
Tim FitzGerald: Yes, Jeff, good question. I would say, I mean, certainly, still a fair bit of uncertainty in many of those markets. I mean, I think just calling out a couple that you mentioned. I mean, casual dining, I would say, is getting better. Obviously, as more and more restaurants can have in-store seating, coming back online. Most states, I think, are back to having some form of in-restaurant seating. So I think that certainly helps. But I still think it’s a little uncertain for the next couple of quarters. Education specifically will be interesting. I mean, this is, historically, we’re coming into the period where you would normally start to see K-12, colleges and universities start their purchasing cycle. It would be kind of this normal cadence of second quarter purchase, delivery and install over the summer to obviously get ready for the fall session. So – and we’re starting to see some of that start to pick up. And obviously, as kids go back from being remote to in-person more and more, I would expect the educational segment to probably, I won’t say, get back to traditional levels, but certainly improve, I would think, over the next quarter or two as kids come back in-person in the fall.
Jeff Hammond: Okay, great. And then just a couple more. One, any comment on order momentum into April? And then just on the Res Kitchen, kind of, is the confidence on an out year just you’re not – you’re still out – orders are still outstripping your ability to produce and you’ll come into 2022 with a big backlog?
Tim FitzGerald: Yes. I think on Residential, some of the trends that we’re seeing, they’re going to sustain for a bit, at least that’s our view. I mean, certainly, part of that has to do with the backlog not only in our business but really the residential industry more broadly and in terms of construction and contractors and availability of materials, et cetera. But certainly, the housing market remains strong, and we foresee not only building and sales, but also the remodels really to carry through for the remainder of the year. So certainly, I think, we feel pretty good about how we enter 2022. But I mean, again, we also feel good about what we are doing so that’s a great backdrop. But we continue to invest in that business. I know Bryan just talked about the margins and the outlook. But as we are increasing profitability, all the way along, we’ve been reinvesting in that business and we continue to plan to do that. So we see still a lot of opportunity in terms of sales channel as well as new products coming online. So that kind of bodes to our longer-term outlook for the business. I’m sorry, I know, Jeff, you had another…
Bryan Mittelman: Yes. In terms of order rates, order momentums. If I could bring my family back into it, I’ve been talking to my younger son about slope a lot recently. So I’d say that the slope continues. I’m not going to get into specific numbers for April, but what we’ve been seeing and reporting, hasn’t been any changes in the trajectories for April.
Jeff Hammond: Okay, great. Thanks guys.
Tim FitzGerald: Yes. But maybe just to say, like we feel good about, I mean, the business recovery and how we’re positioned and we just talked about that. There is – it is hard to say what a trend in orders is going to be this year, right? So I also want to just underline that. We certainly will be up over last year, given it was the COVID year, but difficult to know what the week-to-week, month-to-month and quarter-to-quarter will be over the next few quarters and I suspect that’s true of our industry generally.
Operator: Your next question comes from the line of Larry De Maria with William Blair.
Larry De Maria: Thanks. Good afternoon, everyone. Good morning.
Steve Spittle: Hi, Larry.
Larry De Maria: Hi, guys. So CFS orders, up 21%. That would imply they’re up over 1Q 2019 as well if you look at last year’s orders. So I’m kind of – what I’m trying to understand is, how sustainable these are? And if this is kind of – can we look at this as a real number? Or it sounds like partially not because there’s some longer lead time orders in there. So can you just kind of talk about how you see where we are versus 2019? And how much of this is inventory stock catch-up demand, etc? And then can you give the backlog number for 1Q 2019 so we can understand how that $941 million compares to 2019?
Tim FitzGerald: Well, I’ll start and then I’ll kick it to Bryan to clean up whatever I say here. So I think – so it is up over Q1 of 2019. So we’ve had order growth not as I’ve kind of said in the initial comments, not only over first quarter 2020, which was largely pre-COVID, although COVID started bleeding through there but we’re up somewhat over 2019. And we feel good about that, obviously. So I mean, I think some of that has to do with again the investments we’ve made, the segments that we’re in and speaks to somewhat the recovery of the industry. Included in there, probably, is also some pent-up demand as restaurants are starting to open up. I mean, I think we see some strategic investment from the chains and I would say not only the QSRs but fast casual coming online more. So I mean, I think that is some of the things that we saw last year and continue into this year. And as some of the other segments probably not back online, but start to open, such as maybe some of the casual dining that there’s probably some pent-up demand in there. So that’s harder to say what is sustainable in there. And I’ll kind of kick it over to Bryan now.
Bryan Mittelman: Yes, in terms of backlog, I’m not going to go back to Q1 of 2019, but we have in our – go back a few years in the 10-K, we have at the end of 2018 and that backlog was around $280 million. And I would offer that the difference between where we entered 2019, that number I just gave and when we were at the Q1, things didn’t meaningfully change in that one quarter, right? So the backlog is tremendously different. It’s not quite up threefold from that amount, but it’s getting close to that, right? And it’s probably worth thinking about it in terms of each segment as well, right, back in that time frame, Food Processing was around $100 million backlog. We’ve talked how that’s in the $150 million neighborhood these days. Residential used to not carry a very large backlog, given the size of their business, right, and that one is up tremendously. And then obviously, Commercial being the largest is one that probably starts getting up to, again, being not quite but starts getting closer to three times where it was back then.
Larry De Maria: Okay. No, that’s fair and super helpful. If I could just follow up on that then. In your opening comments, you said that the industry is not expected to recover until 2025. But I don’t think that implies that your sales wouldn’t get back to those levels, right? I mean, is it fair to think that 2022, 2023 time frame, given how you guys can pivot within the end markets, is it a fair time frame to think about getting back to those pre-COVID levels?
Tim FitzGerald: Yes, that’s right. And so just to clarify. So my comments, and that’s based on some industry data that comes out of Technomic, and that really speaks to the restaurant sales, so our customers and what they’re – and when are they going to recover. And I think that’s across all the different segments, so you’ve got QSR and retail recovering more quickly and in other areas such as casual dining maybe taking a little bit longer and travel and leisure perhaps maybe a little bit longer than that. So that is really speaking to the foodservice industry and markets recovering. I mean, I think our view, as you just said, Larry, is 2022, 2023 is where we’d be, I think, we’d be back to 2019 levels.
Larry De Maria: Thank you very much. Good luck.
Tim FitzGerald: Thanks.
Steve Spittle: Thank you.
Operator: [Operator Instructions] And your next question comes from Tom Simonitsch with JPMorgan.
Tom Simonitsch: Hi, thanks. Good afternoon, everyone.
James Pool: Good afternoon, Tom.
Tom Simonitsch: How are you thinking about Food Processing demand in the near to medium term? Do you expect to see year-on-year growth in that business in the back half of 2021 against tougher comps?
Tim FitzGerald: Yes. This is a business where we do expect growth. Obviously, my comments here were also positive, I would say, obviously, at modest levels. There is a little bit of lumpiness from quarter-to-quarter like you asked about the back half of the year, right? Q3 was a little lower quarter. Q4 jumped up, right? And so we – I think there’s often a little bit of danger in looking at this business on just a quarter-to-quarter basis because you can get some lumpiness in terms of fulfilling large orders and the like, right? So I think it’s important to look at it as kind of collectively over a period of time. But I did – so my comments, again, thinking about it sequentially, and Q2 should be a little bit better than Q1. And we have a pretty good backlog and pipeline continues to be pretty strong. So I think we should be able to at least sustain that Q2 level than for the remainder of the year, which would imply growth overall.
Tom Simonitsch: That’s very helpful, thank you. And can you clarify the timing of general pricing actions you’ve taken? And maybe comment on how much the backlog is covered by new prices, if at all?
Tim FitzGerald: So we took a kind of price increase generally coming into the year, so not all of our brands take it on the same day by any means. But generally, we had a first quarter price increase, so let’s say it’s mid-quarter. And then, anticipated that we’ll have a second price increase broadly in early to mid-third quarter, as you said, because we are carrying a heavier backlog, some of the pricing actions that we would anticipate upcoming. That’s why we don’t anticipate that those would really start going into effect or be realized in the P&L until the latter part of the year.
Tom Simonitsch: Got it. Thanks very much. I will pass it on.
Steve Spittle: Thanks.
Operator: Your next question comes from the line of Tim Thein from Citigroup.
Tim Thein: Thanks, good morning. The first question was on channel inventory in the Commercial business and implications for Middleby volumes as you go through the balance of the year. And so obviously, a lot of discussion on supply chain issues and how that’s limiting your production. And I assume you’re – there’s some prioritization toward retail orders. But how should we think about, as dealers start to also see the improving end markets and start to see orders inflect, will there – is there an opportunity for some kind of channel fill in 2021 or do you think that’s more likely a 2022 event?
Tim FitzGerald: Well, I’ll kind of pass it back and forth with Steve here. I mean, they’re obviously with longer lead times. I mean, I think coming into COVID, there was destocking generally, right? So I think cash was king at most businesses. So certainly, our channel partners were not loading up on inventory at the time and, frankly, we were depleting inventory a bit in ourselves. So I think now given the dynamic, even if they wanted to stock, there’s probably not as much of an opportunity to stock. So I think in terms of when does that happen, I think, maybe as you alluded to, that probably becomes more of an opportunity later in the year or into 2022, if they start to stock again. I will say the industry stocks less than they did, if you were to go back five to 10 years ago, for a variety of reasons. So I would say the inventory in the channel is probably more efficient than it used to be. But certainly, there is less stock in the channel right now.
Tim Thein: Got it, that’s helpful. And then maybe, Tim, on – just on the pricing backdrop in Commercial, and I guess this is more a prospective question, but – and really the kind of the interplay between replacement business versus more project or spec kind of business where, historically, I tend to think of it maybe rightly or wrongly, is the larger projects are where you tend to get more kind of sharper elbows and where price competition tends to be greater than more of that traditional kind of brake fix business. And I would imagine thus far, the majority has been in the latter just in terms of more replacement-type business. As you start to see – presumably, you start to see project backlogs improve, do you think that – and again, it’s a difficult one to kind of forecast, but does the competition – price competition potentially may be less pronounced in considering a backdrop in which we have seen this level of inflation in quite some time. Do you think that kind of mitigates the pricing competition or not? Just curious your thoughts on that.
Tim FitzGerald: Yes. I mean, there’s a lot to unpack there and I’m not sure I can answer the question, frankly, all that good. I mean, I would say, we operate in a pretty efficient market. Pricing is always generally competitive. And I’m not so sure that it’s always all that differentiated based on all the different scenarios that you laid out. I mean, even as we’ve kind of gone through this period, I mean, I’m not so sure that the biggest impact of pricing is really the – us passing along costs, right, as we’ve seen steel and components and compressors, foaming, electronics, et cetera, all go up. I mean, I think, the focus for us has really been moving to higher technology, right? I mean, I think that’s where having a better ROI for the customer to address labor needs, energy needs, sustainability, speed of service, footprint, etc, and as we can do that, everybody wins along the way, including our channel partners. So I think that’s really our focus, is on the ROI to the customer. And that probably doesn’t fully answer your question because you kind of hit a lot there, but I’ll probably leave it really there with, this is kind of our approach and the major areas that we’re trying to focus on.
Tim Thein: Got it. Thanks a lot.
Operator: Your next question comes from the line of Todd Brooks with CL King & Associates.
Todd Brooks: Just a couple of quick questions here at the end. If we look at the supply chain issues and the constraints on current production capacity, does COVID separately, is that still a restraint on capacity as well with shift changes and employee densities? Or have we really passed the baton to the supply chain? And when we do work those issues through the COVID-related kind of detriment to capacity should be behind Middleby.
Tim FitzGerald: Yes. I mean, there – labor challenges are not behind us. There are – we are not immune from some of the factors there that impact a lot of manufacturing environments. So we will use some overtime, where needed and such. But I put the kind of parts and physical goods challenge a little bit above the labor challenge right now. But having said that, the labor is still number two on the list.
Todd Brooks: Okay, fair enough. And then just, is there a metric and I may be aggregating too much relative to individual businesses and facilities, but when you look at kind of a percentage of normalized production capacity, where are you running right now?
Tim FitzGerald: That is a tough one in terms of we have so many operations out there, right? But it is, to generalize trying to give you an answer, I mean, it is close to full tilt where we can. Again, hard to quantify with some of the supply chain limitations, right? But if you – as you’ve seen our revenue levels and our backlog levels and such, right, our operations are running pretty robustly these days. I’ll just – I want to maybe – we do have capacity at a number of our clients, most of our clients, honestly. So I mean, if we get – as we move past supply chains, what Bryan said is 100% correct, which is then we would kind of move into some labor challenges. I would say, by and large, labor is an issue across many industries and certainly at our customers as well, which is something that we focus on solutions to help them. But we do have access to labor at many of the geographies that we’re in. And – but we’ve got capacity, if you just kind of think about footprint and production line capabilities, fabrication capabilities. So I mean, I’d say, generally, there’s 20% to 40% is kind of a band at a broad set of our manufacturing facilities if we were to kind of move beyond those constraints. So I just don’t want to leave you with that we’re maxed out.
Todd Brooks: Great. That’s helpful. Thank you, Bryan.
Operator: At this time, there are no further questions. I’d like to turn the call back over to management for any final comments.
Tim FitzGerald: Yes. So I think before we wrap it up here, one of the things that I might like to do is, pass it over to James a bit. We’ve kind of done a bunch of commercials here about the opening of our innovation center in Dallas, which again, now will expand to add on to Residential, but that was something we opened here during the quarter and remain excited about. So I thought maybe give James an opportunity to give a quick overview of some of the activities there would be good as we wrap up the call.
James Pool: Yes. Thanks, Tim. So as Tim mentioned, we opened the Innovation Kitchen really the first part of January. And I think even with the fact that we are in COVID, the amount of commercial traffic through the Middleby Innovation Kitchen has kind of exceeded our expectations. To date, we’ve had over 70-plus high-quality brands and channel partners come tour the MIK. And these customers come for various reasons. Some come for one or two items, and we’ve seen over 150-plus different Middleby items, and they walk out of the door with kind of a basket of ideas and products that they didn’t know they needed. So the MIK is really driving the message of the breadth of the Middleby product to our customers who may not know how deep Middleby is in beverage and automation and in hot side. From our channel partner perspective, kind of the along the same lines, they’re coming in to see all the great products under one roof. They’re bringing their teams in to get them trained on Middleby, not only on a handful of products, which it used to be but literally every single product that Middleby makes. Also, we are continuing to invest in the Innovation Kitchen. We are here, in the next month, going to complete a fully automated ghost kitchen, podular space within the – in the MIK, and we are also putting in a fully automated sous vide line for our high-volume commissary hotel and restaurant customers to see. We are excited to get more people into the kitchen as travel opens up. There is a great landing page at middleby.com/mik for everybody to go to, to see the kitchen and also to book some time there. So I encourage everybody on the call to do that. And Tim, I will pass it back to you.
Tim FitzGerald: Okay, thanks. So wrapping up the call here and, again, it’s a great capability that thanks to James and team, that we’ve built as a tool certainly for all of our channel partners and our customers. So again, extending the invite and excited to get more and more people into the facility. But with that, I appreciate everybody joining the call with us today and look forward to speaking to everybody next quarter. Thank you.
Operator: Thank you for participating. This concludes today’s conference call. You may now disconnect.